Executives: Andy Clark Gerald L. Hassell - Chairman, Chief Executive Officer, Member of Executive Committee and President of The Mellon Bank NA Thomas P. Gibbons - Vice Chairman and Chief Financial Officer Timothy F. Keaney - Vice Chairman and Chief Executive Officer of Investment Services Mitchell Evan Harris - Senior Executive Vice President and President of Bny Mellon Asset Management Brian T. Shea - Chairman of Pershing LLC, President of Investment Services, and Head of Client Service Delivery & Client Technology Solutions
Analysts: Howard Chen - Crédit Suisse AG, Research Division Kenneth M. Usdin - Jefferies & Company, Inc., Research Division Josh Levin - Citigroup Inc, Research Division Betsy Graseck - Morgan Stanley, Research Division Alexander Blostein - Goldman Sachs Group Inc., Research Division Glenn Schorr - Nomura Securities Co. Ltd., Research Division Cynthia Mayer - BofA Merrill Lynch, Research Division Brian Foran - Autonomous Research LLP Luke Montgomery - Sanford C. Bernstein & Co., LLC., Research Division Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division Brian Bedell - ISI Group Inc., Research Division Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division
Operator: Good morning, ladies and gentlemen, and welcome to the First Quarter 2013 Earnings Conference Call hosted by BNY Mellon. [Operator Instructions] Please note that this conference call webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY Mellon's consent. I will now turn the call over to Mr. Andy Clark. Mr. Clark, you may begin.
Andy Clark: Thanks, Wendy, and welcome, everyone. With us today are Gerald Hassell, our Chairman and CEO; Todd Gibbons, our CFO; as well as several members of our executive management team. Before we begin, let me remind you that our remarks today may include forward-looking statements. The actual results may differ materially from those indicated or implied by the forward-looking statements as a result of various factors. These factors include those identified in the cautionary statement on Page 14 of the press release and those identified in our documents filed with the SEC that are available on our website. Forward-looking statements in this call speak only as of today, April 17, 2013, and we will not update forward-looking statements. Our press release and earnings review are available on our website, and we will be using the earnings review to discuss our results. Now I'd like to turn the call over to Gerald. Gerald?
Gerald L. Hassell: Thanks, Andy, and good morning, everyone. And thanks for joining us today. I know you have a busy day ahead of you, so let's get right to it. As you saw from our earnings release, for the first quarter, we reported a loss of $0.23 per share. This included, of course, our previously announced charge of $854 million or $0.73 per share related to a U.S. Tax Court's disallowance of certain tax credits. We were obviously very disappointed in that ruling, and we will appeal it. Now looking at how our business model performed, we believe we earned about $0.52 or $0.53 per share on a core basis, and Todd will take you through those numbers and how we got there in just a moment. We are pleased to see the year-over-year growth in some of our key revenue items, and Investment Management in particular had another excellent quarter, benefiting from high market values and the 14th consecutive quarter of net long-term inflows. In fact, it was a record quarter in terms of those net long-term flows of $40 billion. Our record asset flows in the first quarter were driven by increases across all of our asset classes, both passive and active strategies. With passive, we're seeing strong flows in equity products. And our active products are trending upwards, principally with LDI, global equity and global real returns strategies. Our success in attracting new assets helped drive assets under management to a record level of nearly $1.43 trillion. Our investment performance continues to improve versus the 1-, 3- and 5-year periods, and we recently won several awards, notably Lipper Fund Awards, 2 for Dreyfus and 2 for Newton. So all of this bodes well in terms of continuing to capture long-term flows in Investment Management. In Investment Services, overall fees grew, driven by increases in asset servicing transaction levels and treasury services volumes. It was also nice to see foreign exchange revenues bounce back as volumes have improved and there was a sequential increase in volatility. Now the market environment remains challenging for DRs, Corporate Trusts and net interest income as capital markets activity continues to trend below normal levels, and we all know interest rates remain historically low. The low-rate environment creates the opportunity for us to realize gains as we rebalance and manage the duration risk of our investment securities portfolio. As we've said in the past, you should look at NII and net securities gains combined when assessing our performance. Expenses were up 3%, and Todd will go through them in just a minute. And as you look at them, you'll see that our discretionary expenses, we believe, are being well controlled. Against that backdrop, we remain very focused on our key priorities of investing in our businesses to drive organic growth and sustainable shareholder value, delivering on our operational excellence initiatives, maintaining a strong balance sheet and, of course, returning capital to shareholders. So let me share some highlights on each of these fronts. In terms of investing in our businesses, I want to single out a few efforts. First, in Investment Management, we continue to invest in building out our manufacturing and distribution capabilities with a particular focus on the Asia-Pacific region. We've also been expanding in our wealth management franchise, and the results are bearing good fruit. In global collateral services, our investment in creating an end-to-end solution for our clients' growing collateral needs is helping us capture more opportunities. Our new business pipeline is growing very nicely, particularly in the areas of collateral segregation and optimization, as our clients prepare to meet the Dodd-Frank requirements later this summer. And in global markets, we've been building out our capabilities to capture more of our clients' trade order flow across a wider variety of asset classes. And in foreign exchange, we've invested in electronic trading platforms, and we're providing more options to execute standing order instructions. And we've also equipped our traders with enhanced technologies to better negotiate trades. So in essence, we're giving our clients many more reasons to trade with us. In addition to investing in our businesses, we're also investing in our brand to create a greater awareness of the broad set of investment services and investment management options available to our clients. We are the investments company for the world, serving the entire investment life cycle. But we're also probably the largest investment manager in the world that nobody knows, and we're working to change that. Now another key priority is our operational excellence initiatives, and we're on track to achieve the savings we've outlined for you. But we're also looking at these initiatives much more strategically. So we're not limiting ourselves to the traditional approach of incremental cost savings. Importantly, we have challenged ourselves and are investing in simplifying our core operating model, retiring legacy systems and utilizing technology to dramatically improve our straight-through processing rates and better manage and reduce the risk in our business model. I am very optimistic that our new leadership team overseeing operations and technology will continue to bring a fresh approach to driving and improving upon these initiatives. Finally, another key priority is managing our capital wisely and returning excess capital to shareholders. The earnings power and the strength of our business model gives us the flexibility to move forward on our capital plan. And we announced a 15% increase in the quarterly dividend and our plans to repurchase shares worth up to $1.35 billion, which is a 16% increase from the prior year's board authorization. So in sum, core revenues are pretty strong. We're controlling expenses well. We're investing in our future, and we're able to execute on increasing our dividend and buyback program. So with that, let me turn it over to Todd to go through some of the numbers.
Thomas P. Gibbons: Thanks, Gerald, and good morning, everyone. My comments will follow the quarterly earnings review beginning on Page 2. As Gerald noticed -- noted, EPS was $0.50. That's excluding the tax charge. This quarter includes roughly $0.04 related to a provision that we took for administrative errors that I'll discuss in more detail in a minute, as well as lower-than-normal investment in other income, which, as you know, can vary quite a bit from quarter-to-quarter. It also includes a benefit of approximately $0.01 to $0.02 related to a loan loss provision. The way we look at core earnings, as Gerald mentioned, it nets to about $0.52 to $0.53 for the quarter, which compares to $0.52 in the year-ago quarter. Last year, it's probably worth noting that other income from last year, so this is versus last year, that other income was down $67 million and other expense was up $87 million. We'll go into each of those in a minute. So the underlying quality of our earnings compares quite favorably. Looking at the numbers on a year-over-year basis, total revenue was $3.6 billion. That's down 1% as fee and other revenue was flat and net interest revenue declined. Investment management and performance fees were up strongly. We had nice fee growth in asset servicing, treasury services, and FX revenue was also up nicely, while declines in NIR, issuer services, other trading and investment and other income offset those gains. Expenses were up 3%, and they were 6% if you exclude amortization of intangible assets, M&I, litigation and restructuring charges. We'll talk more about that in a minute. Turning to Page 4, where we can call out some business metrics that help explain our underlying performance. You can see that AUM of $1.4 trillion was up 9% year-over-year and up 3% sequentially, resulting from net new business and higher market values. During the quarter, we had record net long-term inflows of $40 billion and short-term outflows of $13 billion. Assets under custody and administration were up 2% year-over-year, that's to $26.3 trillion, driven by net new business and improved market values, partially offset by the impact of changes in foreign currency rates. Linked-quarter AUC/A was flat, as the increase in market values was offset by the change in currency rates, and net new business was offset by redemptions. Most of our key metrics showed growth on a year-over-year basis. All clearing metrics were up. DARTS volume and average long-term mutual funds are up quite significantly. Average loans and deposits and wealth management and investment services continue to grow, and average tri-party repo balances continue to grow at a good clip. The main exception was the decline in the market values on securities on loan, and the decline in short interest was -- has negatively impacted demand. Moving on to fees on Page 6. Asset servicing fees were up 3% year-over-year and sequentially. Both increases reflect increased activity with existing clients, partially offset by lower securities lending revenue. We had an estimated $205 billion in new AUC/A way wins for an estimated total of $1.2 trillion in AUC wins over the last 12 months. Of that, nearly 50% remains to be converted, primarily over the second and third quarters. Issuer services fees were down 6% year-over-year, and they were up 10% sequentially. The year-over-year decrease primarily resulted from lower DR revenue driven by lower issuance volumes and also lower servicing fees. The sequential increase primarily resulted from higher DR revenue driven by higher core issuance and cancellation fees and, as we expected, the seasonal improvement in dividends. That was partially offset by slightly lower Corporate Trust revenue. Clearing fees were flat year-over-year and up 3% sequentially. The sequential increase was driven by higher mutual fund fees, increases in positions and assets and an increase in DARTS that was partially offset by higher money market fee waivers. Money market fee waivers for the quarter actually increased slightly from the fourth quarter, as well as there were fewer trading days in the first quarter. Investment Management and performance fees were up 10% year-over-year and down 4% sequentially. If you exclude the Meriten acquisition that we closed in the fourth quarter, Investment Management and performance fees were up 9% year-over-year driven by higher market values, net new business and lower money market fee waivers. The sequential decrease reflects seasonally lower performance fees and, as I just mentioned, higher money market fee waivers sequentially. That was partially offset by higher market values. Comparisons to both periods were negatively impacted by the stronger U.S. dollar. In FX and other trading, revenue was down 16% year-over-year and up 16% sequentially. So looking at the components, FX revenue was up $149 million, was up 10% year-over-year and 41% sequentially as we enjoyed the benefit of higher volumes over both periods. Volatility was slightly off year-over-year but up significantly on a sequential basis. Other trading revenue was $12 million compared with $55 million in the year-ago quarter and $33 million in the prior quarter. The decline was principally driven by losses on interest rate hedges and lower fixed income and equity trading. Investment and other income totaled $72 million in the quarter. That compares with $139 million a year ago and $116 million in the fourth quarter. Both decreases reflect lower leasing gains, as well as lower foreign currency remeasurement. The year-over-year decrease also includes lower seed capital gains, but the sequential decrease includes lower net gains on loans held for sale that we've retained from a bank that we had previously divested. Turning to Page 8 of the earnings review, you'll see that the current low interest rate environment continues to have a negative impact on NIR. It was down $46 million versus the year-ago quarter and $6 million sequentially. The year-over-year decrease was driven by lower accretion, basically lower yields on the reinvestment off of securities. And that was partially offset by a change in the mix of earning assets, as well as higher average interest earning assets driven by the much larger deposit level. The sequential decrease was really just driven by lower day count in the first quarter. The net interest margin was $111 million. That compares to $132 million a year ago and $109 million in the sequential quarter. The year-over-year increase reflects higher average earning interest assets and lower reinvestment yields. As a reminder, the current low interest rate environment has driven significant improvement in the value of the investment securities portfolio, and it's creating the opportunity for us to realize gains as we rebalance and manage the duration risk in that portfolio. We think that gains on these sales should be considered along with NIR when you look at our total results. At the quarter end, we had an unrealized gain on the investment securities portfolio of $2.2 billion. We had $48 million in net securities gains during the quarter, so if you look at both the combination of NIR and gains, it was $760 million -- $767 million in -- combined, which compares with $805 million in the year-ago quarter and $775 million in the fourth quarter. Turning to Page 9, total noninterest expenses x amortization of intangible assets, M&I, litigation and structuring charges were up 6% year-over-year and 1% sequentially. Both increases were primarily driven by higher pension expense, and we also had a $48 million provision for administrative errors and certain offshore tax-exempt funds. The year-over-year increase was also driven by the cost of generating certain tax credits, higher software [ph] and net occupancy expense, as well as the impact of the Meriten acquisition. The increase in software costs relates to application development costs and higher amortization related to the new technology projects. We would expect for the balance of 2013 that software and equipment line to continue to grow at about 1% to 2% per quarter as we bring on new projects. The increase in net occupancy primarily reflects timing of costs associated with our global footprint strategy and, in particular, New York City real estate initiatives. We should start to see the benefit in the second half of this year. The sequential increase also reflects higher incentive expense due to the accelerated vesting of long-term stock awards for retirement-eligible employees. Before turning to an update of our operational excellence initiatives, I want to provide some final comments on the administrative errors I just discussed. The errors relate to questions about the resident status of certain offshore funds, potentially exposing the company to a tax liability related to the funds earnings. It is possible that we may need to increase the reserve further if losses become probable. Having said that, in the second quarter, we anticipate generating gains of approximately $200 million on a number of transactions, including our portion of a gain from a recent ConvergEx divestiture. Although it's difficult to predict the timing, these gains will basically offset the downside scenario if we do have to increase the provision. We've also completed a review of similar funds in our complex, and we have not identified any similar issues. Turning to Page 10. You can see the progress of our operational excellence initiatives. Our efforts to date resulted in $137 million in quarterly run rate savings, and incremental program cost totaled about $16 million. During the quarter, we continued our global footprint position migrations. We've ramped up our Eastern European global delivery center. We realized saving by restructuring some of the investment boutiques and consolidating Dreyfus back-office operations, and we've achieved further operational synergies related to the BHF Asset Servicing acquisition. We produced compensation savings from additional IT staff moves to global delivery centers, and we consolidated and reduced real estate square footage, primarily in the New York City, metro and EMEA regions. As you can see on Page 11, our risk-based capital ratios remain very strong despite the tax provision and the introduction of Basel 2.5. Our estimated Basel III Tier 1 common equity ratio was 9.4% at quarter end. That compares to 9.8% at December 31, with the decrease was largely due to the impact of the tax charge that we just mentioned. Looking at our loan book on Page 13, you can see that the provision for credit losses was a credit of $24 million. That compares to a provision of $5 million in the year-ago quarter. About half of the credit was driven by a broad improvement in the credit quality of the loan portfolio, and half related to a reduction in our qualitative allowance. Excluding the $854 million charge, the effective tax rate during the quarter was approximately $0.24 -- excuse me, 24%, and that's about in line with our previous guidance. A few factors I think you should take into your consideration about the current quarter, that is for the second quarter. We should see a seasonal increase in securities lending. While we don't foresee a significant improvement in rates, the combination of net interest revenue and securities gains should be flat to slightly better, and net interest revenue should benefit from the increased day count and the larger securities portfolio. The quarterly provision should be around 0. We plan to repurchase shares during the quarter. And the effective tax rate should come in at 25% to 26%. With that, let me hand it back to Gerald.
Gerald L. Hassell: Great. Thanks, Todd. And Wendy, I think we can open it up for questions.
Operator: [Operator Instructions] The first question today is from Howard Chen with Crédit Suisse.
Howard Chen - Crédit Suisse AG, Research Division: Gerald, you mentioned the signs of momentum across the franchise, but despite the new business wins and the higher asset levels and improved market tones, revenues are still down from last year and earnings are flattish. So while I know you're always trying to be disciplined on expenses, what do you need to see in the environment to potentially raise the ultimate goals of the operational excellence program?
Gerald L. Hassell: First of all, the revenue decline year-over-year was mostly in the net interest income line, and we've taken some steps to shore that up. And on the expense side, we do have the operational excellence initiatives underway, as I said in my comments that we're always looking to improve upon those. We haven't come out publicly and said we want to do something better than what we've already laid out for you, but I can assure you that we're working very hard to continue to maintain or lower the running rate expenses associated with this low economic environment and to take out costs structurally on a long-term basis.
Howard Chen - Crédit Suisse AG, Research Division: And then relating to the fixed income business, I realize it's still a modest contribution, but how would you say early progress is going? And are the nature of those hedges related to overall balance sheet management, a particular trading strategy or something else?
Thomas P. Gibbons: Yes, the -- why don't I talk about hedges. Most of the decline was related to the hedges, and there are really 2 of them. One is hedging traditional interest rate risk, but the hedge didn't -- doesn't qualify, in that case, as a hedging instrument, so its mark-to-market fluctuates with changes in rates. We don't typically see such a big move, but that was a reasonably significant component of it. The other aspect of it is one of our boutiques is particularly sensitive to changes in interest rates, their revenues are. So they have a relatively modest hedge. So that's more of a timing issue, Howard. So what ends up happening is the mark on the hedge we take now and the revenue will be reflected in future quarters, and it could go the other way. The rest of the other trading was also soft, so our fixed income and our equity trading was a little bit soft for us in the first quarter.
Howard Chen - Crédit Suisse AG, Research Division: Okay, great. And then finally for me, Todd, your CCAR results were quite strong, and the approved capital plan is pretty meaningful. But with that buyback plan that you have in hand and the new business that you see installing over the next few quarters and the higher asset levels, at what point, if at all, does leverage become a constraint again for you to work down the share count and buy back stock?
Thomas P. Gibbons: Yes, we don't see it. I mean, we -- right now the balance sheet is staying fairly stable. It's still pretty large, but it's not growing, and we don't see an environment where that would change. So we're not constrained right now by that leverage ratio. We think we can balance the 2, execute our buybacks, manage the size of the balance sheet and continue to execute on the capital deployment that we've authorized.
Operator: Our next question is with Ken Usdin with Jefferies.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: Can I start by asking you a little bit about the impact of FX translation? You mentioned it being in the investment management line. I was just wondering if you saw that across the income statement and whether or not it had a net effect to the bottom line?
Gerald L. Hassell: Yes, it -- Ken, it was basically neutral to the bottom line. It -- there was a little bit of geography on it. The most impactful was on the revenue line for asset management. But net-net, it was about neutral to the company, and it wasn't that meaningful that it moved revenues positively or negatively.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: Okay. And second question, the servicing business showed really well this quarter, and I was just wondering if you can kind of give us some color underneath and it looks -- you talked about the wins and the still to be implemented. Can you just talk a little bit about just what the drivers are? Underneath, it looks like SEC lending was down, so how much of it was custody versus broker dealer versus collateral, and some more color on the underlying?
Gerald L. Hassell: Why don't we have Tim take that question, Ken?
Timothy F. Keaney: Yes. Ken, yes, I would say we're seeing volumes helping us in our asset servicing business and net new. We still have about $540 billion left to convert. Our payments business grew nicely as well. That was volume-driven. We're also seeing a general tailwind, both around outsourcing, where in our broker-dealer clearing and purging business, a number of small or midsized brokers are looking at getting out of self-clearing and outsourcing infrastructure. And then in asset servicing, we still see a continuing trend in the investment management sector and the insurance sector, where they're outsourcing their middle and back office. So I would say those are the general drivers.
Kenneth M. Usdin - Jefferies & Company, Inc., Research Division: Okay. My last one, just a quick one. Just on issuer, I know it's talked about sequentially DR is better, but Corporate Trust is still lower. Can you just -- can we talk a little bit just through that Corporate Trust piece? And is it close to bottoming yet for either sequentially and year-over-year? When do we finally run out of that on the bottom side?
Thomas P. Gibbons: Yes, Ken, what we've indicated is that we think the contraction in Corporate Trust would probably have an impact of maybe 50 to 75 basis points negative in our -- as the runoffs exceed the new business, maybe 50 to 75 basis points in our revenue. It's actually done a little better than we had anticipated, and the reason for that is we've seen quite a few more CLOs, with our -- seen a recovery of that side of the structured market, and a fair amount of issuance, but it's still we would expect it to runoff at about that rate. The more negative thing has been the cyclical impact that we're experiencing in DRs is even -- that hasn't bounced back. So we continue to see more cancellations than issuance, and so the universe of outstanding DRs for us to generate income on has declined.
Operator: The next question is from Josh Levin with Citi.
Josh Levin - Citigroup Inc, Research Division: Gerald, did I hear you correctly in your prepared remarks? Did you say you're sort of thinking differently about costs? Did you allude to something, some kind of change in thinking?
Gerald L. Hassell: No. The comment I made about it was we had our operational excellence initiatives in place that we publicly announced to everyone. We're on track or slightly ahead of achieving those. But my comment was we're looking at this and challenged ourselves to look at it beyond just traditional incremental cost savings and are looking at the core operating platforms of the company. I've said to many of you that one of our real challenges is we're too complex to our clients in terms of our various operating platforms, our accounting engines, our reconciliation engines, et cetera. We're looking to dramatically simplify that and, therefore, make it easier and better for our clients to do business with us, take risk out of the system and lower the structural costs. And so we're moving into that phase of our review. We have a new leadership team around this. They're putting some fresh eyes on this. And I'm optimistic we can gain some more benefits out of our program over the long term. That's what I was referring to.
Josh Levin - Citigroup Inc, Research Division: Okay, and then a follow-up. When you look at your different business lines, where do you see the most opportunities or the opportunities for the greatest amount of operating leverage and the least amount of operating leverage?
Gerald L. Hassell: Well, I guess I would address this slightly differently in terms of the way you've asked it. We've traditionally looked at our investment services businesses as a series of individual business lines and almost as a portfolio of businesses. We're looking at this much more holistically because that's what our clients do. And so rather than having individual operating platforms per business, we're looking to consolidate across the business lines and, therefore, offer our clients a more integrated product set and integrated solution set. That's where I think there are some benefits working across the seams of our businesses to improve not only the structural cost but also the service offering to our clients. So that's where I think there is continued upside leverage to our business model.
Thomas P. Gibbons: Josh, I'll just follow up on that. If you look at -- if you do look at the 4 key investment servicing lines that we indicate or we disclosed, the highest margin tends to be issuer services and treasury services, and then asset servicing and clearing services tend to have about the same margin. So that'll help you understand where the growth is going to come from.
Operator: The next question is from Betsy Graseck with Morgan Stanley.
Betsy Graseck - Morgan Stanley, Research Division: A quick follow-up on the conversation you're just having and then a couple of other questions. On the follow-up, in order to do this, does it take an incremental investment spend beyond what you've discussed with us before? Or is this embedded within the expense trajectory run rate that you've laid out?
Thomas P. Gibbons: Yes, the -- as we've disclosed, right now we're most focused on delivering the savings that we've talked about, which is in the $650 million to $700 million range. That is net, so every quarter we disclose to you exactly what our investment activity is going to be to get there. So what we've laid out, we don't want to get distracted. We're going to execute on that. Gerald is looking at -- he's really referring to what are the incremental things that we can do as we look at that expense base holistically. And at this point in time, it's too early to really say whether there's an investment to be made there or not, Betsy.
Betsy Graseck - Morgan Stanley, Research Division: Okay. All right. That will come in -- you'll describe that in future quarters. Okay.
Thomas P. Gibbons: Yes.
Gerald L. Hassell: Yes.
Betsy Graseck - Morgan Stanley, Research Division: And then the second thing is on the administrative error review. You indicated that there's a potential downside scenario, and I just wanted to understand what that is a function of. I mean, obviously, there's -- the review needs to be completed. And then you're assessing the downside risk? Or are there other people you have to get opinions from, like regulators or tax people within different jurisdictions?
Thomas P. Gibbons: Yes, ultimately, we're going to have to work with tax authorities to determine whether we are obligated to pay tax on these investment gains. And what we want to make clear is the downside to that, if we do have a downside, it will offset the gains that we have from a number of transactions that we're going to close on or have closed on in this quarter.
Betsy Graseck - Morgan Stanley, Research Division: Okay. So you're expecting that the finalization of your assessment of the downside scenario would be made within the next quarter?
Thomas P. Gibbons: Yes, I can't -- I'm not certain of that, Betsy. There is some lack of certainty. So it's possible that we could show gains in this quarter and still have that open item.
Betsy Graseck - Morgan Stanley, Research Division: Got it. Okay. And then lastly, Todd, you were talking about how we should be looking at NII plus security gains when we're thinking about returns on the portfolio. And I'm just wondering how to think about the -- how long we should be thinking about your ability to harvest security gains going forward in the current interest rate environment?
Thomas P. Gibbons: Yes. The gains are coming from a couple of different sources. One is as you come riding down the yield curve a little bit, if interest rates haven't changed, you actually get an increase in the market value of the security. And there also becomes interest from money market funds and so forth to pick up those assets as they become eligible for funds. So as they -- kind of as we do a rich/cheap analysis across the yield curve, that's generating, in our estimate, about half of them. The other half is really based on credit and the significant recovery in some of the sub-investment-grade securities. There's still many, many hundreds of millions of dollars in unrealized gains there. But what the team does is they look at the -- they look at how those securities have performed, the capital that they've consumed and where they can redeploy. And from time to time, there's a good reason, there's an economic reason for us to take them and we do. And so there's a substantial amount of a gain in the portfolio there that could be realized for a significant period of time if we stay in this rate environment.
Operator: The next question is from Alex Blostein with Goldman Sachs.
Alexander Blostein - Goldman Sachs Group Inc., Research Division: So just to follow up on the last question, when we think about the reinvestment. Can you guys talk a little about the yields that the securities that you're currently selling are earning today and maybe perhaps what you're reinvesting in and the yields on those investments?
Thomas P. Gibbons: Yes. If they're in the credit securities, Alex, they can have a little bit of higher yields. But you're even seeing those securities come down into 3% or 4% type of range. So there's kind of modest sales because the gains are so big, so you're not giving up a whole lot of securities. It does have a little bit of -- when we net it all out, it could have a little bit of negative net interest income, but it's the right economic thing to do under the time -- at the time. New investments, we look across globally. It's probably averaging in the $150 million to $160 million within the securities portfolio.
Alexander Blostein - Goldman Sachs Group Inc., Research Division: Okay. And then, I guess, just one more time on the administrative error, and it sounds like you guys have some downside scenario in mind. I was hoping you could share that with us, what the, I guess, max liability could be. And you mentioned a couple of sources of gains that you could take. Does that involve just some of the businesses that you sold? Or does that involve a step-up in security sales? Like how should we think, I guess, about bridging the gap, like knowing what the ultimate potential downside could be?
Thomas P. Gibbons: Yes. We have announced a few divestitures and closed on one of them, and there are more that we'll close in the quarter. And those gains, so those are known gains right now that we will take in the second quarter, are about the same amount that the downside case, if it's determined that we do have a tax liability and that 100% of that exposure, if we end up having to create a provision for that.
Alexander Blostein - Goldman Sachs Group Inc., Research Division: Got it. Okay, and just the last one for me. On the side of the balance sheet, it seems like noninterest-bearing deposits came down. We're seeing the same with a couple of your competitors. But as we look out from here, does the balance sheet stay sort of stable? Or does it grow with net new business? I guess, how should we think about the size of average earning assets from here?
Thomas P. Gibbons: Yes. The balance sheet has been relatively stable for the quarter, and there's a little bit of a decline right at the -- from the very high levels that we had at the end of the fourth quarter. But for these -- for the first quarter and moving into the second quarter, it's been relatively stable. I think as we grow assets, we would see some growth in the balance sheet that typically comes with that. What I mean by that is we -- as we grow assets that we service, whether it's in corporate trust or in asset servicing or, for that matter, at -- in clearing, we would expect to see about a similar growth rate in the underlying deposits. The real driver, though, is if there's some economic environment that changes, whether there's a flight to the quality or that the people continue to go out the risk curve, where you might see some of the balances flow out into the market.
Operator: The next question is from Glenn Schorr with Nomura.
Glenn Schorr - Nomura Securities Co. Ltd., Research Division: First question, I guess, is on just the top-level view of assets under custody, flat quarter-on-quarter, plus 2% year-on-year. The fees are in that same range, up 4% quarter-on-quarter, 1% year-on-year. So you mentioned a lot of the moving parts on the fee side. On the asset side, I'm just curious why we might not have seen better growth given the environment? And maybe it's a mix of business you can talk about what might be in the running off versus the new -- the type of new business that you're bringing on.
Gerald L. Hassell: Yes. Tim, why don't you take that one?
Timothy F. Keaney: Sure. Glenn, yes, I think what you see playing out a little bit with us here, Glenn, and we've talked about this before, we're a bit more of a fixed-income-oriented book. So income markets were sort of up marginally to flat. We did convert about $350 billion in the quarter. Currency is clearly not helping us here. We did sadly lose one pretty significant client, and you also saw that come out of our securities lending program, and we had some redemptions in fixed income and in money markets. So those were sort of the headwinds. But I think the good news story is, and this has been more of a continuing trend here, is the types of products and services that we're winning and the clients are putting out to bid isn't really geared to AUC. So a transfer agency, sub accounting, middle-office outsourcing would be 3 good examples of that. And I would say our pipeline probably averages about 40%, and about 40% of what we've been winning in the last few quarters would be that type of business that's not geared to AUC. And I think that's why you're seeing sort of a little bit of a gap between AUC and actually having higher fee growth than what you're seeing on the AUC line. So that is something I would expect to continue.
Gerald L. Hassell: Yes, so Glenn, bottom line, we saw some redemptions in the loss of a significant client, which we're not pleased with at all. But it was offset by new convergence and new business coming in. That's the way to think about it.
Timothy F. Keaney: Yes, and I think you also have to think about our mix of assets, too, because despite the very strong equity market, the net impact between currency and market was basically flat in our mix of assets.
Glenn Schorr - Nomura Securities Co. Ltd., Research Division: Yes, I hear you. It actually makes me ask a silly question of I'm not sure what you're supposed to root for, higher rates or lower rates, because...
Gerald L. Hassell: Still like higher rates.
Thomas P. Gibbons: Yes, we'll go with the higher one.
Gerald L. Hassell: I'll go with the higher rates, Glenn.
Glenn Schorr - Nomura Securities Co. Ltd., Research Division: Last one, in your prepared remarks, you mentioned on the expense side, obviously, the operating excellence benefits, but you talked about doing a decent job on what is discretionary. And I didn't know if you can give a little more color on what you thought across the expense line items, what the key numbers, what are -- what is discretionary and what isn't. In other words, you mentioned software is going to have to grow as you put new business on, but can the professional fees, can the sub custodian fees -- where do you see some discretion?
Thomas P. Gibbons: Yes. Why don't we tick through a number of them? Our staff expense has some measure of discretion. So if you see -- I mean, it is up for the quarter, but recall this is a quarter where we have about $50 million of acceleration related to equity grants for retirement-eligible employees. And we also saw a $10 million increase in our defined benefit pension expense. So we were able to absorb all of that and still show some improvement. On the professional, legal and other, the biggest component in there is consulting and any discretionary use of consultants, we're keeping a very close eye on. Software and equipment is -- a lot of that is the investment that we've made in the past as it comes online and the depreciation actually picks up. So that's a little -- at this point, it's a little less discretionary. Occupancy, just is we're going to see some improvement there, Glenn, as the -- especially the footprint actions that we've taken around New York City start to pay off. So we actually wrote off some leasehold improvements in the quarter, and then we'll have a lower run rate going forward. So that's a good investment. And the other discretionary item is business development. And you can see that we've controlled it despite the efforts that we're making to invest in our brand, and we will see some expenses around the branding efforts.
Operator: Our next question is from Cynthia Mayer with Bank of America Merrill Lynch.
Cynthia Mayer - BofA Merrill Lynch, Research Division: So maybe just quickly a follow-up on Glenn's question on AUC. I understand that you lost a big client, but the $205 billion in new wins also seems a little light, at least compared to the 12-month figure you give. And I'm wondering, is that lumpiness? Or do you see wins slowing down at all? And then also on the loss of the significant client, is that a big enough client to impact SEC lending going forward?
Gerald L. Hassell: Yes. So why don't -- I'll take part of it and then turn it over to Tim. Yes, it was a significant client both in terms of assets under custody and they there were active in the SEC lending program. That's why it showed up in both categories. And as you all know, we hate to lose, and we're kicking ourselves for losing it. It was a very competitive environment and we lost. But the lumpiness, we do see quarter-to-quarter lumpiness in the win side as well. And so this quarter, we saw $200-and-some-odd billion worth of wins. The pipeline is quite strong. It's actually up year-over-year, so we're encouraged by our ability to win new business out of the pipeline going forward. And we still have about $0.5 trillion worth of assets under custody yet to convert. So we still see positive attributes in terms of our ability to grow this business. But Tim, if you want to pick up on it?
Timothy F. Keaney: Oh, no, Gerald, I think the only other thing I would add to that, Cynthia, is, again, back to that mix point of sort of the 40%-ish not being geared to AUC. So when we look at this internally, we look at AUC and we also look at the value of what we're converting. And I would have put this sort of in the pretty good news camp in terms of the $205 billion when you look at it on a value basis.
Cynthia Mayer - BofA Merrill Lynch, Research Division: Okay. Great. And then, I guess, on the AUM side, you guys had strong long-term flows in the quarter, so can you talk a little about where the bulk of those flows were coming from? What's the blended fee rate on those? And was any of that seasonal?
Gerald L. Hassell: We have Mitchell Harris with us here today, representing Investment Management. So Mitchell, perhaps you can address that.
Mitchell Evan Harris: Sure. A lot of it is coming through LDI, which tends to have a somewhat lower margin. But we are starting to see a subtle shift in the markets, and we are starting to see international equity and Asian equities, global equities, real returns, as well as emerging market debt taking part of those flows. So I think what we see longer term is a subtle shift from the lower-value fixed income products to a slow shift toward more of the equity products and the higher-value fixed income products like high yield and emerging market debt.
Cynthia Mayer - BofA Merrill Lynch, Research Division: Okay. Great. And then maybe just one final one on custody. Can you update us on the repricing initiatives?
Gerald L. Hassell: Tim, that's yours.
Timothy F. Keaney: Yes, sure. Cynthia, thanks for asking. You'll remember that we're sort of focusing our repricing effort not on the 80% of the fee line where it's more about cross selling, it's on sort of the 20%, the small- and medium-sized clients. We're making very good progress. All of the clients -- small clients have been repriced. And as I think we talked about last quarter, we're sort of now renegotiating with clients as their contracts come up for review, and those tend to be the larger clients that are invested in multiple products. So the good news is we've been making very good headway there. We'll have another couple of hundred clients that will reprice this year. I expect the retention rates to remain high, although I expect the percentage rate increase that we will get will step down a bit well below in the 18% to 19% we've been seeing in the small clients, so sort of right where I'd hope to be right now, frankly.
Operator: The next question is from Brian Foran with Autonomous.
Brian Foran - Autonomous Research LLP: I guess I wanted to ask about a higher-rate environment as we think out a couple of years and maybe build scenarios into models and stuff like that. So 2 questions, I guess one more mechanical, just with the securities changes you're talking about. Should we expect you to get more asset-sensitive as time goes by? And then, two, when we think about the benefit to NII and money market fee waivers that you give us, should we drop that all to the bottom line in a higher-rate environment and kind of think about a step change in pretax margins? Or would there be kind of some kind of change in the expense outlook as revenue changed as well?
Thomas P. Gibbons: Brian, the -- talking about the money market fee waivers, most of that would drop to the bottom line. What you can't predict is exactly what investor behavior is going to be. I don't know if we'll see more money come into funds or there's a reason why rates are higher and money could exit. But assuming behavior is the same, that would be a significant contributor to -- and it would be just a step function, if you will, in the -- in our EPS. Looking at the interest rates on our other earnings areas, for example, securities lending, there are a lot of reinvest -- or repriced assets south of LIBOR, so there's very little LIBOR curve there. So it could help that substantially. Again, that would be a very high-margin business, most of it dropping to the bottom line. And finally, with our net interest revenue, so we're sitting on an awful lot of money that is earning 0 or something very close to 0, just in the European Central Bank, for example. That can be anywhere from $10 billion to $20 billion that is earning 0. So if we do see a blip up, there would be some ability to generate some income there, as well as on the compression on our other deposits. So I can't predict exactly what investor behavior would be. We would certainly not expect it to be at such an inflated balance sheet in the event that we did see a tick-up in interest rates. But we would, as we've modeled this, we would expect significantly higher NIR as well.
Brian Foran - Autonomous Research LLP: I guess as you think out as well about business opportunities in the collateral management and transformation opportunity you've been working to, just what happened year-to-date? Would the regulatory changes just kind of push out the opportunity? Or has the opportunity been modified somewhat?
Gerald L. Hassell: Yes, it's part of the Dodd-Frank legislation, and the rule writing is still being finalized. But we expect to see -- and it's showing up in our pipeline and our client conversations later this summer. So some part of collateral management's being realized upon as we speak, particularly in some of the transformation activities. But as I said in my opening comments, we expect to see a broader pickup later this summer and through the course of the year as Dodd-Frank legislation kicks in and our clients really do, in fact, have to start posting collateral all around the world.
Thomas P. Gibbons: The other thing that's happened is the financing-related aspects of it have actually picked up, so we've seen pretty decent growth there. But spreads and rates have come down, so just over the past 6 to 9 months, LIBOR's down about another 12 or 14 basis points. So the repricing of that portfolio could benefit from the growth that's been offset by the repricing.
Operator: The next question is from Luke Montgomery with Sanford Bernstein.
Luke Montgomery - Sanford C. Bernstein & Co., LLC., Research Division: Yes. So among your custodian peers, you experienced the most amount of reinvestment risk -- or pressure, rather, last year. And I was wondering if you might comment if there's been any changes in the composition or position of the portfolios in the last year, including seasoning or legacy yields that would increase or decrease your exposure or reinvestment risk this year, assuming that rates stay low?
Thomas P. Gibbons: Yes, we've put on a little more duration in the portfolio when we saw interest rates pop a little. When the tenure went up over 2%, we did extend it and take the opportunity to extend a little bit of the duration of the portfolio. And that's why we're feeling that it'll probably be -- the yield on the portfolio should be a little more stable going into the next -- into the rest of the year. Plus, we've put a little more to work, so the portfolio is up by about 6%. During the course of the quarter, most of that was -- most of the benefit of that wasn't really seen in the quarter. We'll see it in the second quarter.
Luke Montgomery - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And then you said in the past that we might be able to gauge the success of your cost efficiency program by looking at pretax margin x NII and servicing. I'm not sure if there's any distortion in the trends there, but I was wondering if -- how you might comment on how you're grading yourself on that metric.
Thomas P. Gibbons: Yes. If you look at the investment services business, we give you a statistic that shows you the margin relative -- on the fee business, and it's stuck at about 93% on a year-over-year basis. That's largely -- what it's masking is the decrease in our higher-margin businesses is masking the improvement that we've -- that we're seeing in asset servicing. So I think it's moving about as we've expected. Now it's going to be a function of where the revenue lines are moving.
Gerald L. Hassell: Well, I was just going to say you can see, from the fourth quarter to the first quarter, we saw it getting back to that 93% zone from the fourth quarter. So some of the savings are, in fact, kicking in, and we just -- we saw some higher-yielding business come on, like foreign exchange, like some of our other asset servicing repricing. So you are starting to see some benefit from the overall program.
Luke Montgomery - Sanford C. Bernstein & Co., LLC., Research Division: Okay. That's helpful. And then just a final one for me, I know you've commented twice already, but I wanted to give it one more try on the technology spending. Your competitor is saying they plan to become the low-cost provider in servicing through its technology transformation, and you're acknowledging that you're still working on rationalizing your various platforms. So I'm wondering is the kind of transformation that State Street's talking about even possible if you don't first combine your platforms? And is what you're saying is that you now believe it's imperative for competitive reasons that you need to start a new investment cycle? Or am I just reading too much into that?
Gerald L. Hassell: Well, I think, first of all, we spend a couple of billion dollars a year already on technology, so it's not that we're starting from 0. And it's a matter of prioritization of some of those technology spends on maintaining existing programs versus investing in new ones. And I think part of our job, as the senior management team, is to make sure we're allocating capital in our investments in the proper category to achieve the end-state platforms that we're looking to get to. And we're going through that process now to make sure we're investing in the future architecture of the company. Since many of our products are commodity like, I think we have to be an incredibly productive and incredibly efficient operating platforms in order to remain competitive and to continue to grow our business. And so strategically, that's what we're looking to do, is take advantage of the new technologies, to invest in those sooner to get to the end state faster. We're not ready to talk about what the level of investment is to get there. We're still going through that process, but I can assure we're looking at all avenues to take advantage of the new technologies in the marketplace.
Operator: [Operator Instructions] The next question is from Mike Mayo with CLSA.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: I know you guys are a preeminent trustee, and I'm going to ask about the $8.5 billion settlement where Bank of New York is acting as trustee for MBS from the country-wide situation. And there was an expert opinion filed by an Adam Levitin saying why the deal should fail. And some other experts have said this deal might not go through. And I guess the hearings start May 30, where the court will rule if that deal should go through. So I guess my question is, what assurance can you provide investors that both the deal will go through and that Bank of New York won't be vulnerable to additional losses? I guess there are $108 billion of investor losses and Bank of New York, acting as trustee, decide $8.5 billion was the right amount. So correct anything I said that was incorrect, and tell me why you think this deal might go through or your view on it.
Thomas P. Gibbons: Well, Mike, it's Todd. I'll take that. Certainly, as trustee, we believe we've acted at all times in the best interests of the investors, so we're confident about our position there. In terms of our exposure, we are completely indemnified. So we don't see any specific -- we don't see or nor are we particularly concerned about risks to us in our role. It's impossible for us to determine how the courts will ultimately rule, but again, we're indemnified, and we're quite comfortable with our position.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: All right. Well, I guess the one issue I'd focused on is who made the determination that an $8.5 billion settlement was the right amount. And based on the review that I've done relying on some legal experts, it seems as though only one firm, RRMS, came up with that valuation number. Now there's other experts who I think said that number was okay, and you, obviously, would rely on other experts outside of the financial area. But is that correct, that there's just -- you solely relied on RRMS for the financial conclusion that $8.5 billion was the right number? And what gives you confidence that, that firm, RRMS, did a sufficiently good job?
Gerald L. Hassell: Well, you have to remember, Mike, that firm worked with, I think, it was 18 large investors who were the principal owners of those tranches of investment -- of securities. So you add 18 very large investors who thought that, that was an appropriate amount to settle on, not the firm that you're referring to and not us. That -- those 18 investors with that firm had discussions with BofA in terms of whether that was an appropriate settlement. And we're now looking to the courts to decide.
Michael Mayo - Credit Agricole Securities (USA) Inc., Research Division: And I'll queue if I can call this my second-half follow-up. Those large investors, I think, comprised only around 23% of the total investments. And so that would imply there's almost another 80% of investors who would not be represented by those 18, or I had 22, large investors who agreed to that agreement.
Thomas P. Gibbons: Well, Mike, that's what the -- why we -- why it's in the courts. It's up to the courts to decide. It's not up to us.
Operator: The next question is from Brian Bedell with ISI Group.
Brian Bedell - ISI Group Inc., Research Division: Just back to the fundamentals. On the -- just a question on the Investment Management business, the realization rate on the assets under management were a little less than I thought. If you can outline maybe the contribution from the negative foreign currency translation, maybe that was the bigger driver, and also the money market fee waiver delta from 4Q to 1Q, and whether, other than mix shifts between products, that, that was the primary driver?
Gerald L. Hassell: Yes. Mitchell, why don't you take the fee realization side of the question.
Mitchell Evan Harris: Sure. It is mostly -- Brian, you're right. It is mostly on the foreign exchange side. We're quite heavily exposed on our equities to sterling. Sterling is the bigger driver. It's about 2/3 of the current currency exposure to sterling, which fell more than the euro did. The euro is the other part we're heavily exposed to. So over 50% of our equity revenues are exposed to non-U.S. currencies. So that's really been the drag going into the first quarter.
Gerald L. Hassell: Yes. And on the money market fee waiver, they were up a little bit on a sequential quarter basis.
Mitchell Evan Harris: It was small.
Gerald L. Hassell: But not a terrible amount.
Thomas P. Gibbons: For asset management, it was sequentially -- it hurt them by about $5 million. On year-over-year basis, it helped them by about $5 million. And it's about double that for the company.
Brian Bedell - ISI Group Inc., Research Division: Double that, so okay, is it about 5 -- I think you were at like a $0.04 to $0.05 EPS run rate on fee waivers in prior quarters. Is that still the right page? Or is it a little worse than that?
Thomas P. Gibbons: No, it is, Brian. It's still in that range.
Gerald L. Hassell: That's about that same range.
Brian Bedell - ISI Group Inc., Research Division: Same range, okay. And then just lastly on the purging business, if you can you talk about some of the outsourcing opportunities and maybe sort of the timeline that you're thinking that you can convert some new wins there and whether the organic growth -- the organic revenue growth from that can -- we can sort of see -- begin to see that in the results relative to the macro drivers of trading and, obviously, fee waivers.
Gerald L. Hassell: Yes, we'll have Brian Shea take that question.
Brian T. Shea: Brian, it's Brian Shea. I would just -- I'll reverse it a little bit and just talk about the organic growth drivers first for a second and then come back to your new business pipeline-related question. The core assets on our platform are growing pretty well. So customer assets on the platform are up year-over-year double digits and 6% sequentially. Mutual fund assets are up pretty solidly, and that's -- and what's important about that is that we had significant net new long-term issue fund flows on our U.S. platform in the first quarter and a real shift in the balance of the investor behavior. Meaning that last year at this time, it was primarily fixed-income-oriented mutual funds. And this year, through the first quarter, it's a predominantly equity-oriented mutual funds, which is a pretty big shift in investor sentiment. And while we're not the predictor of that, that would be, I think, a positive trend if it sustains itself in terms of investor behavior and willingness to trade. And you're seeing that a little bit in the higher DARTS volume as well. So the fundamentals of the current businesses are pretty solid, and so we like that. In terms of the new business, what's happening is we're starting to see larger opportunities from self-clearing firms. And it's really driven, I think, by continued pressure on large financial institutions in terms of regulatory change, capital requirements, capital investment. So they're thinking through what their core competencies are and what -- where they can create their own leverage. And so we're starting to see bigger global wealth management firms consider outsourcing to the purging platform. So too hard -- hard to tell at this point whether -- what the yield will be on that or the timing, but we're hopeful that we'll see some decisions in the second and third quarter. And we're deeply involved in dialogue with a handful of firms.
Operator: The next question is from Robert Lee with KBW.
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: I just wanted to -- first, guys, I just wanted to clarify a little bit on your new business win metrics. I guess I have always assumed that, that was a net number, net of known future losses. Is that net or gross, the $500 billion left to convert?
Timothy F. Keaney: Yes, that's a -- Rob, it's Tim. That's a gross number.
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: So I guess the follow-up to that, if we were to think of a net number based on known losses, accounts, things you may lose, what would that be?
Timothy F. Keaney: I think the last time I looked at that, it will be a net positive as I look out over the next quarter or 2.
Thomas P. Gibbons: We don't lose -- typically, lose a whole lot of business, Rob.
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. And then maybe a second question. I'm just curious, within issuer services, obviously, you still have the runoff with the legacy book. But as you pointed out, CLO activities certainly picked up since the start of the year. And I'm just curious about any changes in the pricing dynamics of what you're seeing on like new CLO activity compared to maybe some legacy products that are running off. Is the pricing similar? Has there been a change in the pricing dynamic one way or the other?
Gerald L. Hassell: Yes, I think on the new CLOs, first of all, you have to remember they're less complex, less leveraged, and therefore, that's one of the reasons why the pricing on the new CLOs is lower than the old ones that are rolling off. And you have to remember, when the old ones were being established at that time, it was in a fairly frenetic market where the pricing discipline, if you want to call it that, part of the issue was less sensitive, and so the new business is much more tightly priced. So that's factoring into why the growth in Corporate Trust, even with CLO, is picking up, isn't fully offsetting the amortization of the old structures.
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: All right. Great. And since I'm the last one, can I maybe just -- indulge me on one more question?
Gerald L. Hassell: Okay. Go ahead.
Robert Lee - Keefe, Bruyette, & Woods, Inc., Research Division: In wealth management, you've had pretty strong growth in loans and deposits. And I'm just curious, with some evidence of there being some increased risk-taking, I guess, conventional wisdom, to some extent, has been that, that's coming out of kind of cash, so maybe deposits. I'm just kind of curious, you had this strong growth in deposits and wealth management, is that just market share gains that you're seeing? Is it -- is there something else going on in there because it's been pretty strong?
Gerald L. Hassell: Yes, I know. Actually, I'm delighted you asked the question. We like the wealth management business a lot. I think we are, in fact, gaining market share. We've added quite a bit of new staff to the team, and I think it's paying off. Some of the traditional wealth management firms that supported wealth management clients around the country or around the world have been challenged a little bit reputationally, and we've got strong investment management products. We have a great balance sheet. The loans that we're putting on are very, very, very high-quality loans. So we like the business a lot, and it's growing nicely. We'd like to continue to invest in it more. Okay. Thanks a lot, Rob, and thank you very much, everyone who dialed in. And we appreciate the call. Thank you.
Operator: Thank you. If there are any additional questions or comments, you may contact Mr. Andy Clark at (212) 635-1803. Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for participating.